Operator: Greetings and welcome to the Capstone Companies Inc First Quarter 2017 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Aimee Gaudet, Corporate Secretary for Capstone Companies Inc. Thank you, you may begin.
Aimee Gaudet: Thank you, Christine, and good morning everyone. We appreciate your time and interest in Capstone Companies Inc. On the call today is Stewart Wallach, Capstone’s President, and Chief Executive Officer; and Gerry McClinton, Chief Financial Officer. They will be discussing the first quarter results as well as give us an update on the strategy and outlook. If you do not have the release that was distributed yesterday afternoon, it is available on the company's website at www.capstonecompaniesinc.com. As you are aware, we may make forward-looking statements during today’s presentation. These statements apply to future events, which are subject to risks and uncertainties as well as other factors that could cause the actual results to differ materially from where we are today. These factors are outlined in our earnings release as well as in the documents filed by the Company with the Securities and Exchange Commission, which can be found at capstonecompaniesinc.com or sec.gov. With that I'll turn the call over to you, Stewart.
Stewart Wallach: Thank you, Aimee. I appreciate that and good morning to everyone. I appreciate your time with us today. Before introducing Gerry McClinton to review the Q1 financial results, I like to take just a brief moment to highlight some of the activities that contributed so favorably to this quarter's results. Q1 represented the most significant product line and brand expansion in the company's history. The products that have shipped in Q1 were developed over the course of the last 12 to 18 months. As we did with our original accent light strategy, we've focused the new offerings niches that were either underexploited or were in need of product updates. The strategy and resulting product placements yielding 64.2% of the record breaking Q1 revenues. Moreover, the addition of the Duracell branding expanded upon our strategy and further differentiates from that of our Capstone Lighting and Hoover Home LED branding programs. At this time, I'd like to introduce Gerry McClinton to review the financials in detail after which I will comment on the company's outlook followed by a question-and-answer session. Thank you. Gerry?
Gerry McClinton: Thank you, Stewart and good morning everyone, another record breaking quarter. As we review the first quarter 2017, we highly recommend that you've also reviewed the 10-K report for 2016. The company's financial results can fluctuate greatly from quarter-to-quarter, but the 10-K. report reflects a full year's performance and discusses our strategic plan for the year. So, now let's review the numbers. Net revenues for the three months ended March 31, 2017 and 2016 net sales were approximately $6.8 million and $2.1 million respectively, an increase of $4.7 million from 2016. In the first quarter of 2017, the company continued to have a strong revenue performance in the accent light category and all three brands including Duracell LED Lighting, Capstone Lighting and Hoover Home LED. During Q1 2017, the company also provided $256,000 for consumer rebate allowances to support the transition from old product to new product as the company shipped five new products in the quarter. I’d also like to highlight the international sales for the first quarter of 2017, which were approximately $574,000 representing 8.5% of revenue. Cost of sales for the three months ended March 31, 2017 and 2016 cost of sales were approximately $5.2 million and $1.5 million respectively, an increase of $3.7 million from the previous year. This represented 76.6% and 70.5% respectively of revenue for the quarter. Now manufacturing costs continue to remain stable in the period. However the percent of revenue comparison for 2017 and 2016 has been significantly impacted because of adjustments in each period. In Q1 of 2017, if we eliminate the effect of the non-recurring cost of the $256,000 consumer rebate allowance as it was to support the transition of old goods into new product, then the percentage to revenue reduces from 76.6% down to 73.8%. In the period ended March 31, 2016, cost of sales was positively impacted by a $94,000 adjustment for a reversal of accrued allowances from the previous year. If we eliminate that non-reoccurring adjustment 2016, the cost percentage to revenue increases from 70.5% to 73.8% of sales. That's the same percentage as you adjust the 2017 cost of sales. Gross profit, for the three months ended March 31, 2017 and 2016 gross profit was approximately $1.6 million and $614,000 respectively, an increase of $1 million from 2016. Gross profit as a percent of sales was 23.4% in the quarter compared to 29.5% from the same quarter of 2016. As noted in the cost of sales comments, adjustments can impact individual quarterly results. However, the trailing 12-month results reflect an average of the last four quarters and a more representative of the trend. The gross profit for the trailing twelve months was 23.6%. During the quarter with the shipment of five new products, the higher margin accent light category represented 40.3% of total revenue with the new items representing 64.2% of revenue. As a result, the quarterly gross profit percentage reflects a blended margin that was impacted by special introductory discounted pricing for the new items. As an example for one new category, we provided an additional introductory allowance, which reduced its gross profit to just below 20%. The blended gross profit for all the other products was 24%, which is actually higher than the trailing 12-month gross profit. Operating expenses for the three months ended March 31, 2017 and 2016, total operating expenses were approximately $1.2 million and $655,000 respectively, an increase of $537,000 or 82% compared to 2016. The following is a summary of the major expense variances by category in the 2017 period compared to 2016. Sales and marketing expenses for the three months ended March 31, 2017 and 2016, sales and marketing expenses were approximately $377,000 and $63,000 respectively, that's an increase of $314,000. The increased expense resulted mainly from the distribution of royalty payments of $233,000 for the branded licenses that did not occur last year and the distribution of representative commissions have increased by $96,000 in 2017 from the previous year. Compensation expense, for the three months ended March 31, 2017 and 2016 compensation expense was approximately $360,000 and $309,000 respectively, an increase of $51,000 or 16.6%. Compensation expense increased as a result of staff payroll increases. Professional fees for the three months ended March 31, 2017 and 2016; professional expenses were approximately $205,000 and $104,000 respectively that’s an increase of $101,000 or 96.3%. The increased expense in the quarter resulted from the hiring of an investment banker, the increased investor relations including management attendance at various investor shows, increased accounting fees and the services of a sales consultant to support and develop the U.S. sales operation effort. Product development, for the three months ended March 31, 2017 and 2016 product development expenses were approximately $72,000 and $36,000 respectively, an increase of $36,000. The expense increased as a result of new product prototype development including testing and certification and the development costs related to our lighting technology. We also incurred additional costs related to artwork and package design and patent and trademarks services. Other general and administrative, for the three months ended March 31, 2017 and 2016 other general and administrative expenses were approximately $179,000 and $143,000 respectively, an increase of $36,000. The increase as a result of increased bank processing fees associated to the higher revenue and general insurance liability premiums. Net operating income, for the three months ended March 31, 2017 the operating income was approximately $387,000 compared to a loss of $41,000 in 2016. This is an improved performance of $428,000 over 2016. Interest expense, for the three months ended March 31, 2017 and 2016 was approximately $22,000 and $58,000 respectively, a reduction of $36,000 as compared to the period 2016. Despite having a substantial revenue growth during the quarter, we've been able to curtail the need for increased borrowing by negotiating more favorable payment terms with our overseas suppliers. This has substantially reduced the need and cost for purchase order funding. With the increased cash flow resulting from operational profits of 2016, we have also been able to substantially reduce all director loans, which also reduce the interest expense. Now effective May 01, 2017, we have negotiated a 33.3% reduction in processing fees with Sterling National Bank associated with our bank loan. The new fee structure will further assist in reducing bank funding costs. Provision for income tax, for the three months ended March 31, 2017 and 2016 the provision for income tax was approximately $128,000 and $0 respectively, but the first quarter profit the company’s NOLs have essentially been used up and the company now must accrue for income tax. Net income, for the three months ended March 31, 2017 the company had a net income of approximately $251,000 as compared to a net loss of $99,000 in the same period last year. The overall net income improvement in the quarter ended March 31, 2017 of $350,000 compared to 2016 was a result of the $4.7 million increase in revenue resulting from the rollout of five new products. This performance was achieved after the company provided $261,000 of promotional allowances and $537,000 of increased operating expenses, mainly resulting from the license royalty payments. Liquidity and capital resources, our principal sources of liquidity our cash on hand, cash generated from operations, availability under our bank line and director funding when required. We believe that our borrowing capacity provides the company with the financial resources needed to expand operations and reinvest in our business. In reviewing the first quarter 2017 balance sheet, you will note that the company’s cash balance remain strong with approximately $1.2 million, the Sterling Bank debt remained at zero in spite of our substantial increase of revenue and related party notes were reduced from $1.3 million down to $1.2 million. So let's review other funding activities. Operating activities for the quarter ended March 31, 2017 cash used in operating activity was approximately $206,000 compared with approximately $1.8 million provided by operating activities in 2016. Net income of approximately $251,000 in the quarter and $1.2 million increase in accounts payable help to offset cash used in the quarter. Accounts receivable increased by approximately $1.5 million due to the higher revenue and inventory increased by approximately $148,000. The company's cash flow from operations are primarily dependent on our net income adjusted for non-cash expenses and the timing of collections of receivables, levels of inventory and payments to suppliers. Sales are influenced significantly by the timing and launch of new products into the marketplace and in this first quarter of 2017 we have shipped five new products. Investing activities, cash used for investing activities in the quarter ended March 31, 2017 was approximately $13,000 compared to 5,000 in 2016. The company continues to invest in new product molds and tooling. With the product expansion into new LED and home lighting categories, the company's future capital requirements may increase. Our Hong Kong management team has a task of continually reviewing and negotiating favorable payment terms with factories, which will reduce the amounts of upfront cash required to have available when initiating a new project. Management believes that our cash flow from operations and additional borrowing will provide for these necessary capital expenditures. Financing activities, cash used in financing activities in the first quarter of 2017 was approximately $250,000 compared to $1.7 million in the same period of 2016. During the quarter, the company was able to produce directors’ loans and accrued interest by $137,000 some of which was outstanding since 2010 and 2013, maintained the Sterling Bank loan at zero balance, repurchased and retired $150,000 of company shares and retain the cash on hand balance of $1.2 million. In March 31, 2017, the company was in compliance with all agreements pursuing to existing credit facilities. The management believes that our cash flow from operations continued support from Sterling National Bank and support from our directors will provide sufficient financial resources for the company during 2017. This concludes my financial summary for the first quarter of 2017. I will now turn the call back to you, Stewart.
Stewart Wallach: Thank you, Gerry, appreciate the detail. To reiterate, the company shipped five new product offerings in Q1 including our patented Capstone Power Control light bulb, our indoor LED surface mounted spotlight, our LED motion sensor light, which is a dual mode product operates both through solar power and battery power, our outdoor gooseneck fixture light and our puck light with a new swivel base, directional base. Our third brand was launched in Q1 under license from Duracell. Our growth over 2016 for the same period was $4.7 million, which represents our fourth consecutive record breaking quarter. We expanded product placement into Pacific Rim through the efforts of our Capstone Hong Kong office including Home Pro in Thailand and Bunnings in New Zealand as part of our customer base. We exceeded our guidance as stated in April 2017 of $5.5 million by an estimated 20% and continued to build backlog, which we expect to yield record Qs two and three. Our strong operating leverage remains a constant and is expected to continue to drive earnings growth. The launch of our third generation of accent lighting products further validates the sustainability of the category. Not only did we bring this third generation to market under our new brand, but we also expanded the product features and most importantly the product performance. We remain resolute in meeting or exceeding consumers' expectations. In conclusion, before we address some questions that have come in via email, I think it is important to acknowledge all Capstone associates for their hard work and obvious achievements. It is through their perseverance and exhaustive efforts that allows us to continue to benefit from the company's operating leverage. Management remains committed to containing its overheads while pushing the limits in product innovation. Our momentum has never been more obvious as we complete this fourth consecutive record quarter. On a side note, having just returned from the National Hardware Show, it was apparent that the new product introductions as well as the forward-looking product planning were received quite well by our noted retail partners. So with that, I’d like to personally thank our long-term shareholders for your continued support and to our new and potential shareholders I'd like to welcome you to this exciting time in our company's history. I think we're now ready for some questions.
Operator: Thank you. We will now be conducting a question-and-answer session. Due to time constrains, we ask that all callers limit themselves to one question. If you have additional questions, you may re-queue and those questions will be addressed, time permitting. [Operator Instructions]
Aimee Gaudet: Okay, in the meantime, I would like to address some questions that came in via email. First question based on your recent PR, if Capstone already sells to all of the major big box customers, why the need to introduce to new potential customers at the Las Vegas Hardware show?
Stewart Wallach: It's important to point out that participation at a National Hardware Show is more of an opportunity for us to see our international customer base, which is strong in attendance, but also introduce product concepts and directions that we are contemplating from the market to our existing domestic customers which allows us to gauge their level of interest. As I said earlier the response and the feedback we received was very favorable.
Unidentified Analyst: Okay great. Thank you. Next question, are you waiting for the final report from Wilmington before committing to an IR plan?
Stewart Wallach: Actually Wilmington would not be involved in that and of our decision making. We do have an IR plan in place, it includes investment conferences and continued PR when newsworthy. This effort is currently being managed internally. And we are reviewing IR firms that would be a good fit for our company going forward.
Unidentified Analyst: Okay great. Gerry may be you can answer this question. Do you anticipate a 10% pretax margin for 2017?
Gerry McClinton: I would say well with our range is going to be between 9% and 10% tax margin is our target as reflected in past revenue filings.
Unidentified Analyst: Okay great. Next question, which particular product campaigns have been a positive surprise in 2017 are you able to timely sell demand if needed?
Stewart Wallach: It would be virtually impossible at this point to label that which would be a surprise. It's simply too early in the sales cycle to give a meaningful response. However, let's focus on the success we've had in product placement. We were successful in placement of all our new products, however, it’s important to point out that the consumer response is the true indicator and that's the results we’re waiting for at this point in time.
Unidentified Analyst: Okay, thank you. Next question, is the social media campaign for Capstone products in the work?
Stewart Wallach: Well we continue to explore where social media can impact our business significantly, we are determined to better maintain our Facebook presence, we've just actually concluded discussions in the point and we have created Twitter account that will allow for updating in the near future. However, again, we will explore where the social media can positively impact our business and that's where we'll place our efforts.
Unidentified Analyst: Thank you. Next question, you stated in the 10-K that you may offer a private label accounts to international customers, can you comment on the potential for revenue stream?
Stewart Wallach: No we can't comment at this time it's premature.
Unidentified Analyst: Next question, having just completed the International Hardware Show were you pleased with the show and were there any prospects that came out of it?
Stewart Wallach: Well as I mentioned earlier in the webcast we were pleased with the attendance, but most particularly the positive feedback we received from our channel leaders. Should point out we have a lot of work to do subsequent to the show and we anticipate following-up with personal visits by mid-summer.
Unidentified Analyst: Okay. Last question is directed towards Gerry. So it appears that international business has become rather stable and you have mentioned growth opportunities that are being established through Capstone HK. Can you comment on this and the potential revenue impact?
Gerry McClinton: It would be difficult to forecast the revenue potentials, only because we don't have any point of sale data at these early stages, however, Capstone Hong Kong has closed transactions of both HomePro in Thailand and Bunnings in New Zealand both leading home improvement change.
Unidentified Analyst: Okay great.
Stewart Wallach: Thanks.
Operator: [Operator Instructions] Thank you our first question comes from the line Tomer Cohen with Five Roads Capital. Please proceed with your question.
Tomer Cohen: Good morning Gerry, Stewart, Aimee.
Gerry McClinton: Good morning Tomer how are you?
Tomer Cohen: Good. Another good quarter I'm running out of ways of saying congratulations.
Stewart Wallach: Well you keep working at that Tomer.
Tomer Cohen: Thanks. My question is about the bath vanity light, I’m just curious if you can give us an update on how those are progressing?
Stewart Wallach: Alright, good question. Let me share with you when we initially launched the feature rich bath vanity light with the Bluetooth, et cetera, and we did put it into the market for testing, we learned quite a bit. Most of which we learned about the designs that are what we would call more mainstream. The initial designs we had were very contemporary and as such were received only moderately well. More importantly, the price position, the initial designs were pushing the live it at $120 to $140. At the recent hardware show we had a new development that was accomplished with our overseas team and that is that we created a different approach to initiating the night light feature, I believe you're familiar with that. The night light feature being that we have integrated into the bath vanity light that when you walk into the bathroom area at night, late at night, that the light automatically goes on triggered by a microwave sensor and it's a soft glow, just so you can find your way in the dark. The initial night light design was a very costly as it incorporated a battery and extensive circuitry. We did come up with a cost down approach to that, introduced it just at the Hardware Show and it was received very favorably. Now we're going to focus our attention to working with one to two of our retail accounts as it relates to the designs that they feel would be most meaningful.
Tomer Cohen: Can you give me a sense for timeline for when the first designs will be on the show?
Gerry McClinton: I would say that the initial design, considering we're just in the design phase and those discussions are going to be opening in the next month or so during my personal business, I would say really we're talking the beginning of 2018.
Tomer Cohen: Okay, great. I’ll get back in queue.
Gerry McClinton: Thanks Tomer.
Operator: Our next question comes from line Bill Chapman a private investor. Please proceed with your question.
Bill Chapman: Good morning everyone congratulations also on a very fine quarter. Your hard work is being reflected here.
Stewart Wallach: Thank you Bill.
Aimee Gaudet: Good morning.
Bill Chapman: Good morning. On your CPC bulb pricing do you have flexibility if you are determined it has to be at a lower price point can you influence Sam's – and tell me what’s your thoughts are on that?
Stewart Wallach: Well let me go back a little bit if I can for some people that may or may not know this. But the CPC battery – bulb development was over the course of two plus years. And we were ready with the product is mid-2015, I believe. The problem was that at that point in time Bill retail price positions of LED bulbs started to drop feverishly. And today, for instance, the same bulb that sold back then at $9.99 and $10 today is selling for anywhere from $1.49 to $1.99. So when somebody looks at buying a power failure product and/or a bulb with additional features in it, they certainly are going to weigh and measure the impact of what does that performance mean to me relative to what it's going to cost me to have just a regular bulb. On that note, we delayed the introduction of the product we actually changed our manufacturer, we changed our design and we did go through a significant cost down exercise. The product is hitting the market right now which is currently being shipped out to Sam's Clubs is the cost down version. And I can comfortably tell you that our product will be at retail in a very aggressive price position and is a quality product more important than anything else. There are number of emergency type bulbs that have the surfaced in the marketplace over the course of that last year and a half to two years, but none of which we believe have the integrity, and the circuitry and the feature sets that we've put into ours. But at the end of the day, this is all going to be determined shortly by how the consumer response to it. Do they want to pay a premium? Now on that note, I can tell you that the price ranges on our bulb should be very competitive and fall into the $10 to $12, $13 range at retail.
Bill Chapman: Okay good. Well that sounds way below where any competitor is charging is that true?
Stewart Wallach: Well to the best of our knowledge. I mean, there are some companies that are doing some direct online we've taken a look at the product again claims of what a product does and doesn't do are always something that the consumer has to make the final decision in the boat, but at the end of the day to the best of our knowledge we are substantially under the market for any recognized supplier of any consequence.
Bill Chapman: And Sam's is not have any competing bulbs it's just yours only. Isn’t that true?
Stewart Wallach: In the area of power failure?
Bill Chapman: Yes.
Stewart Wallach: Yes of course, they will think carry a competing product.
Bill Chapman: Yes they are committing to you to be the product for that category. Okay just want to make sure. Let me ask you also real quick.
Stewart Wallach: [Indiscernible]
Bill Chapman: I’m sorry go ahead.
Stewart Wallach: No I said thank you. I just see a number of callers.
Aimee Gaudet: We have a number of…
Stewart Wallach: And I just wanted to be sure we're moving this along. Go ahead.
Bill Chapman: Okay one quick thing on your strategic initiative where are we at on this process.
Stewart Wallach: The strategic initiative that being with the Wilmington?
Bill Chapman: The investment banker, yes that’s correct.
Stewart Wallach: Yes, in fact we're having meetings regularly. We are nearing in on some opportunities that they've identified. The first step in that process will be for them to price an overview before any action will be taken on any of those measures, whether that be us looking at other companies, us looking at other product lines, et cetera. It's important that we remain independent on this to the best of our abilities. So we have not tried to skew the input by giving them our opinion on these matters until they've finalized their assessment, which I would expect will be just in the few weeks ahead.
Bill Chapman: Okay thank you very much.
Stewart Wallach: You bet, Bill it was good talking with you.
Operator: Our next question comes from the line of George D'Angelo a Private Investor. Please proceed with your question.
George D'Angelo: Hey Stuart good morning.
Stewart Wallach: Good morning George.
George D'Angelo: Thanks for a good quarter. I just wanted to see if given you guys had a great first quarter if you have any update to the full-year guidance, I think 25% to 30% growth for 2017 that you gave on the last call.
Stewart Wallach: Well it is if you know historically I like to – I am not real comfortable with giving you any extended guidance only because of the business is such a dynamic one. However, what I am comfortable is saying at this point is that the backlog is building very favorably, it's a very strong backlog at this point. And again depending on shipping windows, that's why I loved Qs two and three together because it's very hard to define an exact quarter when at the end of any one quarter George for instance we may have a million dollars of containers sitting waiting to be picked up at the dock and they end up being picked up two days later and now there are Q3 business activity. But what I will tell you is that we're very, very comfortable with Qs Q2 and Q3 being record quarters. Let me answer it that way.
George D'Angelo: Okay, alright great. Thank you. Thanks guys.
Stewart Wallach: George appreciate it.
Operator: Our next question comes from the line of Shaun Marconi a Private Investor. Please proceed your question.
Shaun Marconi: Hey guys congrats on the good quarter.
Stewart Wallach: Good morning Shaun. Thank you.
Shaun Marconi: A couple of questions.
Aimee Gaudet: Good morning.
Shaun Marconi: Good morning. I have a couple of questions so obviously you started with the Hoover co-branding deal with Sam's Club. Correct?
Stewart Wallach: That's correct.
Shaun Marconi: So Capstone showing success with that brand selling that to Sam's Club obviously Costco wanted to try to do something similar with the co-brand deal with Duracell. How does that Duracell relationship come about?
Stewart Wallach: Well it’s like any other licensing arrangement. You have to be vetted and I could tell you the vetting process is quite extensive. There are particularly a company like Duracell who is very strong in their licensing area. They dedicated tremendous amount of resources to their licensing department. So the vetting process is as difficult and as challenging as anything I've seen. And of course obviously we've passed that. Their vetting process being a strong engineering company does not just incorporate the stability of a company from its financial perspective, but also you have to be on the meet the strong engineering criteria that they've put forward. In fact they've actually improved parts of our product. We learned a bit from them. But the actual process that initiated this was a collaborative effort between us and our client where they actually recommended and felt that because they were putting such an increased dedication to the brand that it would be suitable for us not to displace Capstone in anyway, but to enhance the performance of one particular category that they've had a such a long run with. So it was a collaborative effort. And then of course we went through the rigorous qualification process.
Shaun Marconi: Yes no it's interesting I mean I’ve been going to Costco quite a bit. I mean I love Costco anyway. But I would go even more frequently to do the proper due diligence on some your products. I've noticed your gooseneck lamps, Capstone branded lamps and on the Costco here in Michigan and the Duracell Puck Light product is also now stocked to my Costco. But I recently bought some and passing them out. So far they are working out pretty well. But just from a co-branded perspective how would you compare Duracell’s brand compared to Hoover's brand?
Stewart Wallach: I…
Shaun Marconi: Do you have any marketable data on how many more you may sell of Duracell versus the Hoover?
Stewart Wallach: Shaun at this point I couldn't comment on that. Keep in mind that the Hoover home LED brand was something of our making and of our design. So they were not openly licensing their brands. We actually thought that there were strength in the brand being an iconic brand as it is and the ability to extend that brand to other categories following a research project which we had hired an independent company called Global Radius to do a market study for us. I will tell you that study cost us somewhere around $20,000 before we ever even approached TTI. So at the end of the day, it's doing exceedingly well, but I can't speak in terms of comparisons because one, we don't have experience with both of them and it would just be – and Duracell is one of the strongest brands in the entire hardware department. But I couldn't speak to one what that actually translates to as a percentage Shaun I couldn’t do that.
Operator: Our next question comes from the line of Mike Schellinger with MicroCapClub. Please proceed with your question.
Mike Schellinger: Yes thanks for taking my question. Your product portfolio you've done a great job of diversifying it here. I was wondering if you could comment with some kind of quantification maybe like how many products in 2016 or say greater than 5% or 10% of revenue and where do you expect to be at the end of 2017 or some other color to let us know how the diversification is looking?
Stewart Wallach: I think that we’ll be able to do there and we try to give you some feel for that by telling you that in the Q1 64% of our activity was contributed by new products. That’s probably the best read at this point. But I want to further that Mike by saying that again based upon the consumer response to that 64% of placement is where the future of the categories evolve from. So I would say probably by the end of Q3 we would have a much better idea of how many of those products will be leading us into 2018. And at the same time we are also introducing other products just as we did before our production and our on our development cycle is about 12 months to 18 months. So where as you are seeing right now products that were developed 12 to 18 months ago we also have a whole host of other products of extensions that are been developed over the last 12 to 18 months that we surface into 2018 and 2019. And so far as how many of those would represent what percent of sales, I wish I could provide more color, but it is premature.
Operator: Thank you. Ladies and gentlemen do you time constraints we have reached the end of the question-and-answer session. I would now we can turn the floor back over to management for closing comments.
Stewart Wallach: Thank you Christine. Well I appreciate everybody participating. We also enjoy and appreciate the increased participation at your level through question-and-answer section. We're very, very bullish on the company and we're making some very great things happen. But I think it's important, particularly for the longtime shareholders to know that the company is not an overnight sensation, we've been in development for some time we're always focused on building sound business fundamentals. And I think that we are just now starting to really reap the rewards and acknowledge the potential of the company. So I look forward to reporting further later in the quarter. And we will always provide material updates and things that are newsworthy. I think it's important to point out and reiterate that I personally am very averse to what I consider to be fluff PR and non-material news. So we've been consistent about that for a number of years and it seems to serve us well. So we will continue material reporting, but most importantly we look forward to continue to post record results. So again I thank you all for participating and have a great summer.
Operator: Ladies and gentlemen this does conclude the teleconference you may disconnect at this my time. Thank you for your participation and have a wonderful day.